Operator: Hello, and welcome to the LyondellBasell Teleconference. At the request of LyondellBasell, this conference is being recorded for instant replay purposes. Following today's presentation, we will conduct a question-and-answer session. (Operator Instructions). I'd now like to turn the conference over to Mr. Doug Pike, Vice President, Investor Relations. Sir, you may begin.
Doug Pike – Vice President, Investor Relations: Thanks, Brad. Hello and welcome to LyondellBasell's Fourth Quarter 2011 teleconference. I am joined today by Jim Gallogly our CEO; Karyn Ovelmen, our CFO; and Sergey Vasnetsov, our Senior Vice President of Strategic Planning and Transactions. Before we begin the business discussion, I'd like to point out that a slide presentation accompanies today's call and is available on our website at www.lyondellbasell.com. I'd also like you to note that statements made in this call relating to matters that are not historical facts are forward-looking statements, and these forward-looking statements are based upon assumptions of management, which are believed to be reasonable at the time made and are subject to significant risks and uncertainties. Actual results could differ materially from those forward-looking statements. For more detailed information about the factors that could cause our actual results to differ materially, please refer to the cautionary statements in the presentation slide and our financial reports, which are available at www.lyondellbasell.com/investorrelations. A reconciliation of non-GAAP financial measures to GAAP financial measures, together with any other applicable disclosures, including the earnings release, are currently available on our website, lyondellbasell.com. Finally, I'd like to point out that a recording of this call will be available by telephone beginning at 2 pm Eastern Time today until 11 pm Eastern Time on March 10, by calling 888-568-0611 in the United States and 203-369-3197 outside of the United States, and the pass code for both numbers is 6565. During today's call, we'll focus on fourth quarter and full year 2011 performance, the current environment, and the near-term outlook. With that being said, I'd like to turn the call over to Jim.
Jim Gallogly – Chief Executive Officer: Thank you for joining our earnings call. As Doug mentioned, a set of presentation slides accompany this call and are available on our website. Let's take a look at page 4 and review a few financial highlights. 2011 was a strong year for LyondellBasell. We generated net income of $2.1 billion and EBITDA of $5.3 billion. If we take into account all of the items we don't believe reflect underlying business results including the unique financing costs associated with our balance sheet restructuring, charges related to the suspension of operations at the Berre refinery, and our European restructuring, the underlying net income would be $2.7 billion and EBITDA would be $5.4 billion. The corresponding earnings were $4.71 per share excluding items of this nature. In the fourth quarter, prices and margins in the olefins chain and refining declined from strong earlier levels. As a result of this and several charges, our fourth quarter EBITDA declined to $536 million or $675 million exclusive of charges. While the magnitude of the quarterly decline is significant, there is positive momentum building in a number of our businesses at present. I attribute most of the weakness in the fourth quarter to global economic conditions, particularly in Europe, unusual crude pricing movements in refining and typical seasonal trends. However, the quarter was also impacted by other items including turnarounds in the Intermediates & Derivatives segment. Karyn and I will discuss all the details later in the call but first, I want to discuss some of our 2011 accomplishments. If you turn to page 5 of the presentation, I'll begin with our 2011 environmental health and safety performance. Our safety statistics have continued to improve. While we typically only speak to you regarding our employee and contractor safety performance, I would also like to highlight the improvement in our process safety and environmental performance. These are all indicators of focus and investment in our operations. I am quite proud of our results and the continued improvement to levels that rival the best in the industry. Unfortunately, though, I must report that in mid-January, we had an incident in one of our low-density polyethylene lines in Wesseling, Germany. There were no injuries and the damage was limited to an older 130 million pound per year line. The line is currently out of service and we are still investigating the cause and assessing damages. On Page 6, we have outlined some of the key establishments. I will highlight just a few of the many achievements. First, as a relatively young Company, establishing strong governance has been an important focus. During the year, we expanded our Supervisory Board, adding world-class expertise. We have always emphasized cost management, and 2011 was not an exception. Our underlying fixed costs were flat compared to 2009. I'm also pleased to say that LyondellBasell shares outperformed the market delivering a 10% return to our shareholders. In the financial area, we undertook an important balance sheet restructuring. This unlocked the value of our significant cash generation as we both reduced debt and paid a $2.6 billion special dividend. Operationally, our plants established 35 annual production records or increasing ethane processing capabilities by approximately 5%. We also improved operations at the Houston refinery, enabling us to increase throughput and benefit from strong early year margins. We advanced our investment program by completing major turnarounds at the refinery in two U.S. olefins plants. We also completed many quick payout high-return projects. Further, we enjoyed significant commercial success. We advanced our growth plans. For example, we defined our U.S. olefins expansion projects and the restart of an existing methanol plant, allowing us to further exploit the North American natural gas and ethane advantage. Working with Sinopec, we announced plans for joint feasibility study for PO/TBA plant in Ningbo, China. The Houston refinery crude purchasing program was another bright spot. This effort diversified our sourcing, while yielding an estimated $150 million advantage in 2011 versus the industry benchmark. In contrast to these opportunities, the situation in European Olefins & Polyolefins as well as European refining was quite difficult. We address this as well. We initiated actions to restructure our European operations and on January 4 we ceased operations at the Berre refinery. On the bottom of page, you can see the EBITDA results by segment. For the year, all segments did quite well, improving from an already solid 2010 performance. Let's turn to slide 7 and look at some of the metrics that drove the performance. On the left side of the chart you can see that our ethylene production volumes were relatively unchanged versus 2010. This data reflects production after netting our Channelview flex unit volumes. This tends to understate ethylene operating rates since we converted an increased percentage of our ethylene to higher value propylene. The margin improvement is the more leveraging story. Our ethylene margins increased by 26% in North America. In Europe, ethylene margins also expanded, but from a much smaller base and fell to a slight loss at year-end. In both regions, the improvement in ethylene margins was partially offset by reduced polyethylene spreads. Overall, chain margins increased and were strong in North America. 2011 was a difficult year for polypropylene. High polypropylene prices led to deselection and soft demand which is reflected in the reduced sales volumes. The Intermediates and Derivatives segment had a very strong performance. We saw an increase in intermediates product volumes. Ethylene glycol was particularly strong as operating and catalyst improvements led to record production. However, propylene oxide product volumes declined primarily in Europe. On the far right side of the slide, we show metrics for the Houston refinery. Crude throughput increased significantly, averaging slightly less than full capacity. This, coupled with the strong Maya 2-1-1 spread for most of the year, and our crude purchasing strategy led to an excellent annual results. I'd like to turn the call over to Karyn to discuss our financial performance.
Karyn Ovelmen – Chief Financial Officer: Thanks, Jim. Please turn to slide eight, which charts our fourth quarter and full year segment EBITDA. As Jim said, the fourth quarter experienced a significant decline from record third quarter performance. We will cover details a little later but in general, each segment experienced year-end slowdowns. Additionally, the North American Olefins & Polyolefins segment was impacted by price declines, particularly in ethylene co-products. The Olefins & Polyolefins Europe, Asia and International segment experienced similar trends in co-products causing European Olefins & Polyolefins to operate at a small loss. The EBITDA generated within this segment came from high polypropylene compounding and our joint ventures. The Intermediates & Derivatives segment also generated lower fourth quarter profits. This is primarily related to plant maintenance downtime, typical slow year-end sales and weak sales into the aircraft deicing and use. The Refining & Oxyfuels segment was impacted by very weak Refining margins while Oxyfuels results the weaker than third quarter benefited from stronger than typical winter margins. The bar chart on the right depicts full year EBITDA by segments, notably the North American Olefins & Polyolefins segment delivered more than $2 billion of EBITDA. To put this in perspective, this was approximately $0.26 per pound of ethylene production. The other segments also performed well with each major segment generating EBITDA of approximately $1 billion. Now, let's turn to slide nine, and see how we deployed the cash. The first thing you might notice is that in the fourth quarter cash from operations excluding changes in working capital was negative $385 million. Let me point out that this includes approximately $400 million in premiums paid to refinance our balance sheet and a U.S. tax payment of approximately $200 million. On this chart I want to highlight our debt repayment and dividends. During 2011, we reduced our debt by $2.1 billion and paid $2.9 billion in dividends while maintaining a comfortable $1 billion cash balance. The chart on the right provides a good picture of our overall performance since becoming public. Excluding changes in working capital, we generated approximately $5.6 billion from operations and returned over $6 billion to our investors through dividends and debt reduction. Working capital was managed closely generating approximately $200 million. During the 20 months, capital spending was $1.5 billion. Slide 10, shows a little more detail on our working capital and liquidity. We finished the year with $3.2 billion of liquidity consistent with our targets and our net debt was slightly below $3 billion. While discussing liquidity, I want to point that we have not yet received the majority of our anticipated tax refund. We have received all required government approvals in January of this year and believe we will receive approximately $200 million shortly. This being the beginning of a new year, I expect that you have a few modeling questions. Regarding capital, we are planning to spend approximately $1.4 billion during 2012. As always, we will target to complete this work at a lower cost. Interest expense can be calculated based on approximately $4 billion of beginning debt and an average interest rate of approximately 9%. Additionally, there will be an estimated $5 million to $10 million per quarter to amortized financing fees. Annual book depreciation should be relatively unchanged from 2011. We plan to contribute approximately $160 million to our pension and other social programs and estimate an expense of approximately $80 million. Regarding taxes, we currently expect a book rate of approximately 30% to 32%, and after taking into consideration our refund and other tax attributes, we expect cash taxes to be significantly below book taxes. Now, I'll turn things back to Jim for a further discussion of our business results.
Jim Gallogly – Chief Executive Officer: Thanks Karyn. Let's discuss segment performance beginning on slide number 11 with Olefins & Polyolefins, Americas. Fourth quarter EBITDA was $407 million, a decline of $266 million versus the third quarter. For the full year, our segment EBITDA was $2.14 billion, an outstanding year given the generally weak global economy. The key driver of the quarterly decline was reduced ethylene co-product prices. During the third quarter, propylene, butadiene and benzene benefited from very strong pricing, and the U.S. naphtha cracking was quite competitive with ethane. These prices declined during the fourth quarter, making naphtha cracker – cracking less competitive. Let's discuss a few metrics to put the quarterly results in perspective. Relative to the third quarter, our average ethylene price declined by approximately $0.02 per pound, while the cost of ethylene production metric increased by $0.11 per pound. The latter increase was primarily related to the cracking of non-ethane feedstock. In fact, our average cost of ethane feedstock was relatively unchanged as cost increases in the Gulf Coast were offset by decreases in the Midwest. Production volumes increased moderately as we continue to operate our ethylene plants near full capacity. However, characteristic of year-end buying patterns, our ethylene sales declined. During the quarter, we built some inventory in preparation for upcoming turnaround. Polyethylene sales price declined by approximately $0.05 per pound versus the third quarter. The decline came early in the quarter and reversed in December when we realized a priced increase. Polypropylene spreads declined by approximately $0.02 per pound as price declines outpaced the propylene monomer price decline. Polyolefin sales volumes were relatively unchanged versus the third quarter. Although fourth quarter results declined relative to the third quarter, exclusive of 2010 lower cost or market adjustments, they outpaced the fourth quarter of 2010 by $65 million. For the full year, EBITDA exceeded 2010 by more than $400 million, primarily due to higher ethylene margins. Overall, it was a very good year for this segment, and the underlying fundamentals that supported the performance have remained intact. We still have cheap U.S. ethane as compared to heavier feedstocks. During the first quarter, we have been experienced positive price momentum in several products. We are also benefiting from lower ethane, propane, and natural gas costs. During the first two quarters of 2012, the industry will have a very active maintenance schedule. I'll remind you that at the end of February, we'll begin a turnaround of Channelview. This is a significant turnaround, and we expect to lose approximately seven weeks production from one olefins plant and half a month at the second plant. Although we have taken many commercial actions to prepare for this, you should expect an impact on the first and second quarter results. Let's turn to slide 12 and review performance in the Olefins & Polyolefins Europe, Asia and International segment. The fourth quarter was very difficult as we generated EBITDA of only $62 million, a decline of $199 million from the third quarter. For the full year, EBITDA was $931 million, 14% above 2010. Results on this segment followed the trends that we discussed during the recent Investor Day. Profitability in olefins and commodity polyolefins was slightly below breakeven. Profit was generated through differentiated products. During the fourth quarter, we maintained solid earnings in our polypropylene compounding business and received dividends from one of our Saudi Arabian joint ventures. In prior quarters, we benefited from substantial earnings in our butadiene operations. While butadiene recovery remained profitable during the fourth quarter, the average butadiene price declined by approximately $0.45 per pound. Versus the third quarter lower co-product prices caused ethylene margins to decline by approximately $0.07 per pound. Ethylene production declined by 13% due in part to normal seasonal trends, but also from a weak European economy. Polyolefin sales volumes also declined by approximately 13%. Polyethylene margins declined by approximately $0.02 per pound while polypropylene margins were generally unchanged. Compared to the fourth quarter of 2010, we experienced lower polyolefin margins and volumes. Results in polypropylene compounding were relatively unchanged and joint venture dividends increased. Throughout 2011 differentiated business areas performed well. The first three quarters benefited from co-product strength during, particularly butadiene. Polyolefin results were also relatively strong during the first half of 2011. However, as the European economy weakened results in these products decline. In summary, it was a respectable year for this segment but a difficult quarter, primarily in European commodity products. We continue to aggressively pursue restructuring in this region. Over the past several years we have shuddered European capacity while starting up advantaged joint venture assets elsewhere in the world. Most recently, we announced a plant closure of additional polypropylene capacity at our Wesseling site. Our commercial restructuring efforts are well underway. In the near-term, we have seen some positive price moves within Europe but economic uncertainty remains a key factor over the coming months. I would also remind you that this segment includes the Middle East and Asia which performed well during 2011. Thus far, this trend remains intact. Now, please turn to slide 13 for a discussion of our Intermediates & Derivatives segment. Fourth quarter EBITDA was $173 million, a decline from the prior quarter. However, for the full year, results were very strong generating record EBITDA of greater than $1 billion. This segment of our company has normally been very stable. In the fourth quarter, volatility is larger that we have typically experienced. The drivers of the decline are different than within our Olefins & Polyolefins segment. The majority are either non-recurring or seasonal in nature. More than half of the quarterly decline occurred in propylene oxide and derivatives, and most of the balance was acetyls. Both of these areas executed significant turnarounds during the fourth quarter, and this was the major driver of the lower results. Having said that, other factors also contributed, such as, seasonally slower year-end sales in the European industry, very weak propylene glycol sales into aircraft deicing due to warm weather in both the U.S. and Europe, lower ethylene glycol prices and seasonal marginal declines in TBA chemicals. Absent the turnaround impacts, underlying business results were somewhat stronger than the fourth quarter of 2010. For the full year, EBITDA exceeded 2010 by approximately $200 million. Propylene oxide and derivative results were strong in both years. Acetyls and ethylene oxygenates experienced particularly good results in 2011. Acetyls' strength was driven by low U.S. natural gas costs and competitor operational issues. Ethylene oxygenates benefited from a tight supply demand environment and strong production as we debottlenecked our plant and upgraded our catalyst system. Looking forward, year-end maintenance activities are behind us. Temperatures have only recently cooled and as a result the deicing sales continued to lag. Additionally, Intermediates & Derivative product sales were often influenced by durable goods end-uses and therefore sales volumes can be susceptible to the global economic volatility. Let's move to slide 14 for a discussion of the Refining & Oxyfuels segment. Fourth quarter EBITDA in this segment includes $136 million of charges related to the suspension of operations at the Berre refinery. Absent this, results were still very weak at $26 million. This decline of $493 million from the third quarter is primarily related to lower industry margins. In comparison to the fourth quarter of 2010, underlying results declined by approximately $50 million. This is attributed to weak November and December refining spreads. At our Houston refinery, quarterly EBITDA was slightly above breakeven. Margins declined as the quarter progressed. Additionally, crude purchasing advantages seen in prior quarters were temporarily lost when WTI crude pricing abruptly increased compared to other crudes like Brent, due to the announcement of the Seaway Pipeline reversal. In general, this impacted some prior purchases which are based on the WTI crude index. The WTI Brent spread has widened in recent weeks. During the quarter, the Houston refinery operated near full capacity consuming approximately 262,000 barrels of crude daily. The Maya 2-1-1 spread averaged $13 per barrel during the quarter and only $9 per barrel during December. Our Berre refinery operated at 61,000 barrels per day while consuming existing crude inventories prior to ceasing operations on January 4. Underlying EBITDA for the quarter declined by approximately $35 million versus the third quarter as the benchmark spread declined by $1 per barrel and throughput was reduced by a labor strike related to the anticipated closure. In Oxyfuels, our results were influenced by seasonal margin declines; however, the declines were somewhat less than normally experienced during winter months. Excluding the $136 million of charges related to the Berre refinery, underlying segment EBITDA for 2011 was approximately $1.1 billion, an improvement of approximately $650 million versus 2010. This includes the Berre refinery EBITDA loss of approximately $150 million. Thus far in 2012, the Maya 2-1-1 spread has improved from its December low point averaging approximately $15 per barrel in January and near $20 per barrel during the first days of February. Although operations at the Berre refinery have been suspended, we continue to clear the unit and safely secure the equipment so that it can be my fault. During the first and second quarters, we will continue to incur fixed costs at the refinery. Oxyfuels margins have been good for this time of the year. I'd like to close with a few final thoughts on the past quarter and our near-term outlook. First, I want to be clear that the fourth quarter was disappointing. We had record earnings in the second quarter, again in the third quarter, and so have set high expectations. Yes, we have some unusual charges in the quarter but clearly, macroeconomic conditions changed as we approached the end of the year. We always see seasonal weakness in the fourth quarter but this year global sentiment was negative as well. Our U.S. Olefins & Polyolefins business weathered this storm reasonably well and the fundamentals that created outstanding full year results are intact. Crude oil prices remain elevated while U.S. natural gas prices and NGL prices have continued to decline. As you can see on Page 16, margins are already rebounding nicely. Our refinery results in the U.S. fell dramatically, but margins have recently rebounded. We have stopped operations at the Berre refinery, have taken a significant charge to earnings in the quarter and will in the coming months eliminate this drag on earnings. Our Intermediates & Derivatives business is relatively steady performer, but not immune to general market and seasonal impacts. This segment fared reasonably well, but was impacted by two major turnarounds in the fourth quarter. Our European Olefins & Polyolefins business was significantly impacted by macroeconomic conditions. This segment appeared to be recovering from trough conditions earlier in the year, but experienced very weak markets late in the year. We will remain vigilant and disciplined in our restructuring efforts and will push hard to regain profitability in this region. While we see some early indications, markets are proving, particularly in the United States. We will always remain focus on a few key things; safety, operational reliability, reducing our costs, including the cost of debt, being disciplined stewards of our capital as we undertake growth plans and returning value to our shareholders. We're now pleased to take questions. Brad?
Operator: (Operator Instructions) Our first question will come from David Begleiter of Deutsche Bank. Your line is open.
David Begeleiter – Deutsche Bank: Thank you. Good morning. Jim.
Jim Gallogly: Yes, good morning.
David Begeleiter – Deutsche Bank: Thank you. On the U.S. ethane price situation, do you see those lower prices immediately or is there some sort of lag given your inventory situation?
Jim Gallogly: Ethane prices are usually seen almost immediately. The prices as you would probably recognize are under $0.50, I believe they were $0.47 a gallon yesterday and of course even much cheaper in the Midwest. We see that almost immediately in our operations.
David Begeleiter – Deutsche Bank: Very good and just few comment on the advantage and benefit of both the Conway hub as well as your Corpus Christi cracker versus and they are buying NGLs from the Eagle Ford versus Gulf Coast metrics?
Jim Gallogly: Yeah. The Midwest has just dramatically advantaged at this point in time. Ethane has been priced kind of that priced even below the value of natural gas, which is incredibly low for February on the $2.50 Henry Hub range. So, the Midwest has a terrific advantage, a couple billion pounds of ethylene cracking there. Corpus Christi is a slightly heavier cracker, although, we have been moving significantly more ethane through that unit. The other thing that's happened as a result of the Eagle Ford production is we are taking in steeply discounted condensates into that unit. That's been helping our overall cost structure. So, we saw that cracker move from a relatively high cost cracker to middle of the pack despite it's been fairly heavy.
David Begleiter – Deutsche Bank: Just last. Would you expect European olefins profitability to remain similar in Q1 to Q4?
Jim Gallogly: Well, we've seen some price increases already. January was reasonably weak, but people have been committed to moving prices. There have been some pretty dramatic price increases; ethylene, propylene, and pushing our various polymer prices pretty hard too. So, we'll see how the quarter develops but there is a lot of activity around that. The other thing that you have to recognize is butadiene. It's moved up to €235 a ton in February. So, as we pointed out in Investor Day, butadiene is a lot of where the value was extracted last year. We saw prices fall in December; they are increasing earlier in the year, so that will help us.
David Begleiter – Deutsche Bank: Thank you very much.
Operator: Our next question will come from Bob Koort of Goldman Sachs. Your line is open.
Bob Koort – Goldman Sachs: Thanks very much. Jim, you guys have quite a few projects on tap to do some of the bottlenecks or brownfield expansion and get some more ethane consumption. Could you just talk a little bit about the mood of the ethane producers in giving you some long-term confidence that you're going to see these low rates? It seems like there is quite a bit of contentious chatter on whether ethane is going to be long for a few years or tight for a few years, and then obviously there is that giant balloon of ethane out on the horizon. So, can you talk about negotiating for some security or stability in ethane, and then also, what path do you see over the next few quarters as we get through the turnaround seasons and back into a more normal environment?
Jim Gallogly: Yeah, those are very good questions, Bob. If you look at where ethane was last quarter – in the fourth quarter; you saw some prices that were about $0.90, and obviously today under $0.50, so that's a very dramatic shift. There was a lot of chatter in the markets about there being issues around transportation in all, and as I said at Investor Day, I think that probably was overstated. I personally think that the market is reasonably balanced. As you know, there is several turnarounds going on right now; some unplanned outages. That puts tremendous pressure to move ethane, and as a result you see product moved dramatically lower. That pressure is going to remain on ethane, I believe in the first and second quarters at a minimum because of all the turnarounds. There is a remarkable amount of what's going on in the industry right now. Going into the third and fourth quarter, we expect there to be some NGL fractionation capacity coming on, and we'll see how markets are going to react to that. But I personally think ethane prices should stay fairly low for the year. I feel pretty good about that, especially, when we're sitting here in February with the prices where they are.
Bob Koort – Goldman Sachs: Certainly that strips out there even through '13 of sub $0.45 ethane would validate that, but is there been any willingness of the producers, the suppliers of ethane to lock in long-term contracts with you or are they still reluctant?
Jim Gallogly: Well, there are some people that are out there looking for strips right now, and as you said, we could do a fair amount of stuff through the end of this year at a minimum. There are people approaching us from the Marcellus; some other folks in other of these regions that are coming in and would like to know that they can move the product. We think ethane is going to go long and so we're hesitant to do that at this point in time. We have discussed it, but at this point in time, don't look to lock any of those margins.
Bob Koort – Goldman Sachs: Got it. Quickly, can you give us some methanol update on that project?
Jim Gallogly: Yes, we continue to do engineering work. Of course, the plant exists today and the most important thing is getting a permit which they are looking at they have the 2012 to get that started at.
Operator: Our next question will come from P.J. Juvekar of Citi. Your line is open.
P.J. Juvekar – Citi: Yes, hi good morning.
Jim Gallogly: Good morning.
P.J. Juvekar – Citi: Jim, given the (accelerate) in propane in the U.S. with warm winter and all that can you ship some of your liquids to your European crackers to get them a little advantage?
Karyn Ovelmen: Yes, we can. We've been historically buying some Algerian condensates. One of the things that people don't necessarily recognize about the shutdown of the Berre refinery is that will allow us to change our feedstock slate into our cracker at Berre. We can look at some condensates; we can try to buy naphtha, little better pricing. We think we will have some benefit at the Berre cracker as a result of that the ability to change the feedstock slate a bit. But in terms of United States, obviously ethane is very advantaged. The thing that people don't necessarily see is that last quarter we had real deterioration in co-product prices and propane has come on pretty strong. And so we can go ahead and put some propane back into furnaces and make some propylene and make some money again. That should help us quite a bit here in the first second quarters.
P.J. Juvekar – Citi: Okay. And you also mentioned that you've been converting more ethylene into propylene. So can you help us understand what are the economics of metathesis unit today and what are your thoughts about what accelerating your new metathesis capacity?
Jim Gallogly: In the fourth quarter, we lost some of that advantage. It just didn't make sense to go ahead given propylene prices to convert ethylene into propylene. So, we were doing considerably less of that. That hurt our earnings, but at this moment in time, that makes sense again, and we are running what we call, double-dimmer mode.
P.J. Juvekar – Citi: And anything on the new capacity?
Jim Gallogly: We are still working on that project, so nothing new from what we said at Investor Day. I think, February propylene contract price is up over $0.16, so that's very, very significant, and that's why the sudden shift back to double-dimmer.
P.J. Juvekar – Citi: Thank you.
Operator: Our next question comes from Duffy Fischer of Barclays Capital. Your line is open.
Duffy Fischer – Barclays Capital: Yeah, good morning. On the turnarounds this year at Channelview, how should we think about that as being kind of a year-over-year impact on lost earnings?
Jim Gallogly: Well, we are going to have OP-1 down through that entire period of time. We'll start at the end of this month on that turnaround. And as a result of having a co-gen unit down, that takes our steam down we're having to also shut down OP-2 for a short period of time. So remember, we did the turnaround of OP-2 last year, but unfortunately with the way we have co-gen setup and the lack of steam, we just can't run OP-2 across that turnaround at the co-gen unit. So, both will down. We've been in the process of turning around our crackers in a significant way last year and this year. And then, as you look forward into the year after that, year after that, we're not going to have as much to do. Now, in Europe, we have one of our big crackers down in the fall at Wesseling, but we're catching up with their turnarounds and in the next few years we'll be in pretty good shape on that. Before I forget, Duffy, I also mentioned that we built some inventory in December and we did take some commercial steps to try to mitigate the impacts of the big turnarounds at Channelview.
Duffy Fischer – Barclays Capital: Okay. And then just two kind of housekeeping questions; the inventory of Berre was supposed to be a nice cash flow in the fall for you guys as you worked off that inventory when you shut it down. Has that already happened? Have we seen that cash come through the cash flow statement yet or is that still in the future? Then, if you would just touch on the remaining expensive debt you've got and what we should think about for plans for that over the next year?
Jim Gallogly: I'll let Karyn answer those questions, Duffy.
Karyn Ovelmen: Sure, from a cash flow perspective, as it relates to Berre, approximately $100 million was liquidated in the fourth quarter. We do expect given current pricing another order of magnitude around $300 million or so in the first quarter of 2012. In terms of our current debt that we have outstanding, the remaining 2017 and '18 notes have their call date in May of 2013. Today, the market fundamentals and technicals are very strong, but I expect volatility will remain high. So, there are windows of opportunities that exist in the market. If the market provides opportunities for the Company to move towards its transformation to an investment-grade like capital structure and also have a significant reduction in our weighted average coupon rate; on our bonds, then we should, as we are, continue to explore those opportunities. We'll continue to monitor the markets and balance market risk with tender cost and potential annual interest savings.
Duffy Fischer – Barclays Capital: Okay, terrific. Thank you, guys.
Operator: Next question will come from Jeff Zekauskas of JPMC. Your line is open.
Jeff Zekauskas – JPMC: Hi good morning.
Jim Gallogly: Good morning, Jeff.
Jeff Zekauskas – JPMC: Ethane production really stepped up in the U.S. in the fourth quarter. In that, I think gas plant production was 942,000 barrels per day in October and 985,000 in November. Do you think the gas plant production has increased since November, or do you think it's about the same. And then earlier in your comments, you said that you expected more capacity, more ethane capacity to come on. So, where do you think gas plant production might be by the end of 2012?
Jim Gallogly: Well, I think there were more NGLs produced at the end of the year. I think that trend line continues. I would tell you that there has been a slight reduction in the number of rigs that are running. But having said that, they're looking at dry gas; people are making money on the liquids still. And so my best guess is that ethane is going to long, and we believe that this is a continuing trend. There still are lots of rigs drilling for gas. When prices are $2.50 an M, that's not the best economics for the producers, but having said that, a lot of them have obligations continue to drill or earn their acreage. Generally, the ethane production trend is up, and some of these transportation bottlenecks that people talked about are being fixed. The issues surrounding Bellevue related to a fire last year and some of the jumpers that need to be put in; a lot of that work's done, and so we're not seeing those same number of issues.
Jeff Zekauskas – JPMC: Alright. And then lastly, there is a very positive 2-1-1 crack spread but there has been a negative Maya spread. Do you think you can do anything about the negative Maya spread or is there a way to configure your feeds, so that you can widen out your refinery margins over an intermediate period of time?
Jim Gallogly: Yeah. That light heavy differential is part of the crack and there was new capacity that came on in the fourth quarter that caused that light heavy differential to shrink, but then there was other capacity toward the billions that went offline that helped us again. Right now, that 2-1-1 crack is pretty good. We also see quite a widening of the WTI to Brent differential. And give how we price certain of our crudes, that's been helpful. I perhaps didn't emphasize enough on the call but we got to hurt when that collapse happened in WTI to Brent. That was overnight and had nothing to do with physical movement of oil. That was just a trader phenomenon and we had priced crude off of WTI and so when it dropped over $10 a barrel that hit us.
Jeff Zekauskas – JPMC: Okay, thank you very much.
Operator: Our next question will come from Don Carson of Susquehanna Financial. Your line is open.
Don Carson – Susquehanna Financial: Yes, thank you. Jim, are you able to do much in the way of opportunistic spot ethylene sales similar to what you did back in March, April 2010 when margins were about $0.35. I think they are over $0.40 today. What is your upcoming turnaround at OP-1 preclude you taking advantage of these very attractive sport opportunities?
Jim Gallogly: We always watch that Don. You properly pointed that spot is very, very high. It's in the low to mix $0.60 a pound right now and compared to mid-50s for contract. So, there are opportunities to move spot pounds. Having said that, supply is pretty tight, and we are watching the turnaround schedule. We think that that tight supply is going to continue, and you when you see kind of a spread between contract and spot, that tells you where inventories are, and so, we were building in December really hard in our crackers in anticipation of what might happen early in the year, built some inventory, put some cash to work doing that, and hopefully that will pay out for our investors as we come into the end of the first, second quarter.
Don Carson – Susquehanna Financial: And can you talk a bit about demand from some of your polymer customers both in the U.S. and export business into Asia. There appears to be a bit of restocking going on, but is it continuing and what sort of your view of pipeline inventories after what seemed like a lot of de-stocking in the fourth quarter?
Jim Gallogly: The fourth quarter was really pretty weak in polymer almost around the world, less so in the United States probably than Europe. Asia definitely took a breather in the fourth quarter. I was on the phone with our sales team as late as yesterday talking about where Asia was coming out of the Chinese New Year. They told me that there is some renewed activity. The traders are reentering the market. Those are all positive signs. But we are just out of the Chinese New Year, so we are going to have to see if that trend continues. Early days, positive, we'll see where that goes. In the United States, we were able to get a price increase in December, that's seldom happens, it was a nickel. We've got a couple of more price increases on the table. Things look reasonably tight especially, when you look at where turnarounds are going, and so we are going to push those price increases real hard.
Operator: Our next question will come from Vincent Andrews of Morgan Stanley. Your line is open.
Vincent Andrews – Morgan Stanley: Thank you. Just hoping to dimensionalize a little bit more Jim, your expectations for ethane pricing, particularly in the second half of the year, just when we look at it, we see a fair amount of incremental ethane demand coming from BASF plant and some others as well and then presumably all of the unplanned outages are back and the plant is well. But I just want to sort of get a sense of your comments that ethane prices were going to stay, I don't know if you meant they were going to stay about where they are or if you just meant they're not going to go anywhere back near where they were in the second half of last year. So if you could just try to bring sense to those a little bit more, that would be helpful.
Jim Gallogly: Yeah, I thought ethane prices, when they got above $0.90 were exaggerated and certainly not market at the time; although I did hear some experts say, well, that's probably hereto say, and I just disagreed with that. It was abnormal conditions. I think where we're at right now is a bit abnormal conditions. They are very, very low. Having said that, when we look at ethane going forward, there is a fair amount of product you can buy on a strip for these kind of prices. I think somebody commented on that before. So, the market thinks that ethane stays a bit long through the year. A lot depends on how people operate; whether everybody comes out of the turnarounds on time. Those kinds of things, but there is an abnormal amount of turnaround activity in the United States at this point in time. Now, coming out, a lot of people are lightening up under feed, and some of the work that's going on in the turnarounds is to accomplish that objective. So, we'll see how the market settles out. But I still think, we're in a very advantage market condition. And we can't forget that natural gas prices in February are in $2.50 range, and oil price; Brent $1.18, $1.19 and we are sitting there just around $100 on WTI. So, we can't forget that big spread, which is something that affects the minds of people trading ethane.
Vincent Andrews – Morgan Stanley: Can you remind us of your ability to take advantage of that ethane strip?
Jim Gallogly: We haven't gone out and tried to buy any that we could. We can go out there like anybody else and by end of that for certain volumes, but at this point in time our philosophy is not to do that. We're going to watch and see how the market goes and we feel fairly good about ethane pricing into the rest of the year.
Vincent Andrews – Morgan Stanley: Okay. Thanks very much.
Operator: Our next question will come from Laurence Alexander of Jefferies. Your line is open.
Laurence Alexander – Jefferies: Good morning.
Jim Gallogly: Good morning
Laurence Alexander – Jefferies: I guess the first question is a two-part question on contracts. Are you seeing a shift in ethane pricing to percentage of proceeds rather than just a fixed fee by the midstream companies, and how long do you think your WTI indexing contracts will be sustainable or do you think there is going to be a movement to shift those to Brent Indexes?
Jim Gallogly: On the first part, on the midstream business, I can't really tell you if there is that big of a shift. I used to participate pretty heavily in that, in my old job. But the one thing that happens is those contracts don't change overnight. So, you're looking at new plants and what producers are doing, and typically it's a basin-by-basin thing, and how much competition is there. So, I hesitate to give you a general trend. You usually have to look basin-to-basin. On the second, on WTI pricing, some is priced off of Brent, some is priced off at WTI, it just depends on how relevant one is compared to the other. Toward the second half of the year, people are generally trying to price off of Brent, I'll still say that there are fair amount of transactions done off of WTI. Ultimately, remember that that crude is available, WTI isn't that far away from us and there is a pipeline connection that is going to happen mid-year that will bring some of that pricing down into the Gulf Coast. So, it's still a relevant index.
Laurence Alexander – Jefferies: And then secondly on the outages, if OP-1 and OP-2 will both be down at the same time, is it good to believe that it's about a $70 million to $80 million headwind for the quarter in terms of a sequential bridge?
Jim Gallogly: Yeah, we really don't give that number out and remember, we've taken some commercial average to build some inventories. So, we'd rather not publish a number on that. We gave you the basic timelines of how long we'll be down that's about as much as we'd like to say.
Doug Pike: Okay. I think Laurence you know the capacity of those plants. So, I think we had a pretty reasonable picture of volumetric impacts on things.
Laurence Alexander – Jefferies: And what's your – you mentioned that the cash tax rate would be significantly lower than the reported taxes. Do you have a rough sense for where the cash tax rate should come out?
Karyn Ovelmen: Yeah, the expectation for 2012, about 30% to 32% on the book tax but similar around the range of 15% or lower for cash taxes going forward. Again, you have to take into consideration the receipt of the $200 million in the cash tax refunds for 2012.
Laurence Alexander – Jefferies: Thank you.
Operator: Our next question will come from Hassan Ahmed of Alembic Global. Your line is open.
Hassan Ahmed – Alembic Global: Good morning, Jim.
Jim Gallogly: Good morning, Hassan.
Hassan Ahmed – Alembic Global: I was taking a look at page 6 of your slide presentation and you've listed a number of accomplishments in 2011, be they increasing your ethane feedstock capabilities or wrapping up three maintenance turnarounds in the lake. So now, with those behind us, just trying to get a sense of how we should think about 2012 EBITDA improvements because of having these accomplishments behind you in '11?
Jim Gallogly: Yeah. We spent a fair amount of time talking about 2012 forward in our Investor Day. For instance, one of the things that we specifically mentioned about European restructuring is we are looking to take a couple of hundred million dollars a year out of our cost structure there. We talked about the Berre refinery being shut down, and in second half of the year, we won't have that earnings drag. We've talked about the ethane advantage that we've incorporated in the United States, increase it by another 5%. Things like that help us on an ongoing basis. Further down the road after this year, and then to the next few years, we've got expansion plans at La Porte, maybe a bit of Channelview, methanol plant restart. We've got a butadiene unit that we are working on as we speak, that's a lump sum turnkey contract in Germany that's got beautiful economics. So, this is a growing company. The capital budget is up to $1.4 billion this year, and so we feel very good about our future. Now, I will say that we are heavily dependent at this moment in time on U.S. Olefins & Polyolefins. I mean, that's where the key driver is and last year, we saw really nice bump from Refining. Refining didn't come to us in the fourth quarter. In fact, it was a very, very tough fourth order in refining, but the fundamentals of our business are still intact, and we are going to continue to drive very hard to improve our performance.
Hassan Ahmed – Alembic Global: Very helpful. And a follow-up if I may. We've spent a fair bit of time on this call talking about the ethane side of things and ethylene, polyethylene and the likes, but where do you see – propylene prices obviously came down tremendously through the second half of last year. Where do you see propylene prices directionally going through 2012?
Jim Gallogly: Yeah, propylene is a very short molecule at this point in time, and I can't explain why it fell as fast as it did in the fourth quarter, but we have had some pretty significant price increases early in the year. People are cracking lighter in the United States, which should make that more a valuable molecule going forward into the chain. I did mention in the call today that polypropylene demand had been diminished as a result of high prices; propylene and the polypropylene, so we have seen that market deterioration. On the other hand, there are other uses like our propylene oxide business. We feel pretty good about propylene prices going forward and we didn't have that benefit in the fourth quarter, we hope to see it the rest of the year.
Hassan Ahmed – Alembic Global: Very helpful. Thanks so much.
Operator: Our next question will come from Kevin McCarthy of Bank of America Merrill Lynch. Your line is open.
Kevin McCarthy – Bank of America Merrill Lynch: Yes good morning Jim. I was wondering if you could comment on prospective demand in the propylene chain. If I look at slide number seven, it looks like polypropylene resin volumes were down 0.5 billion pounds, POPG down as well. How much of that would you attribute to price elasticity and to the extent that that was a factor? Do you think it's mostly played out now so that we can resume growth in 2012?
Jim Gallogly: Yeah, my hope, Kevin, is that that didn't play out. Polypropylene prices were materially higher than polyethylene prices. Those who could switch fairly quickly did. And so, I think there are certain uses where polypropylene just makes a lot more sense; car parts and all of that. I mentioned that our polypropylene compound business was really good in '10 and stayed really good in '11. We still see that continuing. So, a lot of the applications are still there, still solid, and I think we've seen the adjustment in those volumes. Now, it also goes into things like our propylene oxide business. You always have a little bit of reduction on the fourth quarter; some of that unseasonal, but pretty steady, we'll see where that goes, but if we have a bit of improvement in the world economy, I expect it all just gets better.
Doug Pike: Kevin, this is Doug. I mean I would – I would, as Jim just said, sort of separate the propylene oxide considerations from the polypropylene. I think some of that was our turnarounds, year-end with deicing and things, not anything from really propylene pricing.
Kevin McCarthy – Bank of America Merrill Lynch: Okay that’s helpful. And then, Jim, at Investor Day, you talked a fair amount about earning the right to grow. I think the emphasis at the time was organic growth to the various projects that you've outlined. But we continue to see quite a bit of M&A activity across the chemicals sector. Even with a special dividend, you're levered about half a turn right now, what is your current view on the outlook for M&A for Lyondell?
JIm Gallogly: Well, as you've mentioned, the program that we put forward in Investor Day was organic-oriented. We, like other companies, look for opportunities. We just haven't seen something that we're interested in yet. A lot depends on pricing; those kinds of things. We'll pay a lot of attention; we do. Sergey is sitting next to me on the left and he is nodding his head. He's always keeping track of everything out there. But we also would tell you that, if you pay too much at the wrong time, you hurt the company a great deal, and we're interested in earnings, not being big.
Kevin McCarthy – Bank of America Merrill Lynch: Okay thank very much.
Operator: Our next question will come from Gregg Goodnight of UBS. Your line is open.
Gregg Goodnight – UBS: Good morning all. Jim, you mentioned the weak pricing in natural gas, and there is some forecast out there that you have gas even under more pressure. A couple of questions in that area. Number one, is your acetyls business directly exposed to spot gas? Question number two is, could you sort of size the Company's leverage to say $1 reduction in natural gas either through BTUs per month type numbers or $1 million per $1 of gas?
Jim Gallogly: The acetyls business does buy its gas on a spot basis. It's been very good for the business recently with it's very, very cheap $2.50 in the heart of winter type price. On the kind of indexes, you might think of $1 an MMBTU lowering our utility costs about $275 million a year. That includes co-gen steam purchase impacts. Then, if you think about into the ethane chain, $1 an MMBTU equals to about $0.07 a gallon ethane send upon COE, something like that. Those are pretty good ratios I think.
Gregg Goodnight – UBS: Okay. Second question, you mentioned a little turnaround you had in the fourth quarter in propylene oxide and acetyls. Could you size those up in terms of what the direct costs and maintenance costs were for those turnarounds?
Jim Gallogly: We don't usually talk to those direct costs. And of course, they get amortized over time on those large turnarounds.
Gregg Goodnight – UBS: Okay. So, we are going to have to break out then the impact of lower volumes versus the turnarounds.
Sergey Vasnetsov: What you see in the third to fourth quarter results, as Jim said in the prepared comments was largely the turnaround impact was one of the most significant effects between third and fourth quarter profitability. Acetyls, of course, we only have one acetyls unit in the system, so when it's down, you have a pretty big impact. And then on the propylene oxide side, the site that was down is propylene oxide solvents, C4 chemicals and BDO site. So, there is a combination of impacts on that side.
Gregg Goodnight – UBS: Okay, great. How long was the Acetyls area down in fourth quarter?
Karyn Ovelmen: I don't remember the length of the turnaround, and I'll have to get back to you, because I just don't recall.
Gregg Goodnight – UBS: Okay. Thanks a lot guys.
Doug Pike: Yeah. We are going to I think take one more question, because I think we are running out of time here
Operator: Our next question will come from Ed Mally of Imperial Capital. Your line is open.
Ed Mally – Imperial Capital: Okay. Thank you. Just a quick follow-up on the question about the debt in the capital structure, with respect to the high cost that, generally, would your priority be to refinance that into lower cost debt when the opportunity arises or would you look to place a priority on using excess cash flow to pay down debt outright? And then, also within that complex, you addressed the 27 -- 2028 a target any thoughts on the 2027 bonds?
Karyn Ovelmen: Yeah, in terms of reducing those 2017 and '18 bonds, yeah, we are looking a market here and see if there's opportunities to reduce the overall costs from a coupon perspective, then we will look to tender those bonds and going to the bond market and potentially extended maturities on those bonds as well as the an overall reduction in the cost. In terms of our overall leverage that we have, expectation is where we are at is appropriate for us. We are a commodity chemical. It's critical to ensure that we have sufficient liquidity, as previously discussed at our Investor Day, maintaining that $3 billion range is appropriate from a liquidity perspective. We are looking to reduce our weighted average cost of capital, and I believe in this market, it is an achievable goal. When you look at where our current market and 6%, 1 billion bonds are trading today, that would indicate the availability out there in the market and indicate a longer-tendered, maturity-staggered capital structure with the current leverage profile that we have. Now, of course, the capital considerations would be different if there wasn't sufficient liquidity in the market. But given our current credit rating, the nature of our business, the global outlook for our business, our capital needs, and our access to sufficient liquidity, then the current leverage profile that we have today is appropriate.
Ed Mally – Imperial Capital: Okay Thank you. And with respect to 2027 bonds at 8.1%, similar to the other higher cost paper, would you look to address those as well as the 2017, 2018?
Doug Pike: Well, this is Doug. I mean I think back at the history of those bonds, and it's a pretty small issue for us at $300 million they have been out there and survived through quite a bit. It is something that is a pretty nice piece of that for us. Yes, the interest rate is higher than we can achieve right now, but all the other considerations have gone through this. So, I think as Karyn said, the focus is on those larger issues and what we could do with those, particularly with the 2013 cost coming up and the opportunities that the market presents and we hope it will present across this year.
Ed Mally – Imperial Capital: Okay, good. Thanks very much.
Jim Gallogly – Chief Executive Officer: Well, thank you everyone for your continued interest in our company. We did have a disappointing quarter. We have recognized that. It was seasonally slower as we often see in the fourth quarter. But in addition to that, we took a significant charge related to the Berre refinery; $400 million plus related to our refinancing efforts into fourth quarter, but I think those unlock significant value. We had a very weak Maya 2-1-1 crack spread in our refining business, the collapse of WTI at a certain point in time. Europe is obviously been quite weak in the fourth quarter; seen a little signs of life, but fundamentally, we have a very, very strong business. Ethane is very cheap right now. There are lots of turnarounds on horizon. We're going to continue to press on reducing our cost structure. We have a good business, and we came off of record earnings in the second quarter, record earnings into third quarter; we're going to continue to press. Again, thank you for your interest. I look forward to talking to you next quarter.
Operator: Thank you for your participation on the conference call today. At this time, all parties may disconnect.